Operator: Good afternoon, and welcome to FLEETCOR Technologies Incorporated Second Quarter 2022 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note, this call is being recorded. I would now like to turn the conference over to Jim Eglseder, Head of Investor Relations. Please go ahead.
Jim Eglseder: Good afternoon, everyone, and thank you for joining us today for our second quarter 2022 earnings call. With me today are Ron Clarke, our Chairman and CEO; and Charles Freund, our CFO. Following their prepared comments, the operator will announce that the queue will open for the Q&A session. It is only then that you can get in line for questions. Please note, our earnings release and supplement can be found under the Investor Relations section of our website at fleetcor.com. Now, throughout this call, we will be covering organic revenue growth. As a reminder, this metric neutralizes the impact of year-over-year changes in foreign exchange rates, fuel prices and fuel spreads. It also includes pro forma results for acquisitions closed during the two years being compared. We will also be covering non-GAAP financial metrics, including revenues, net income and net income per diluted share, all on an adjusted basis. These measures are not calculated in accordance with GAAP and may be calculated differently than in other companies. Reconciliations of the historical non-GAAP to the most directly comparable GAAP information can be found in today's press release and on our website. I do need to remind everyone that part of our discussion today may include forward-looking statements. These statements reflect the best information we have as of today. All statements about our outlook, new products and expectation regarding business development and future acquisitions are based on that information. They are not guarantees of future performance, and you should not put undue reliance upon them. We undertake no obligation to update any of these statements. These expected results are subject to numerous uncertainties and risks, which could cause actual results to differ materially from what we expect. Some of those risks are mentioned in today's press release on Form 8-K and in our annual report on Form 10-K filed with the Securities and Exchange Commission. These documents are available on our website and at sec.gov. Now with that out of the way, I will turn the call over to Ron Clarke, our Chairman and CEO. Ron?
Ron Clarke: Okay, Jim. Thanks. Good afternoon, everyone and thanks for joining our Q2 2022 earnings call. Upfront here, I'll plan to cover just three subjects. First, give you my take on Q2 results. Second, I'll share our updated rest of year guidance, and the assumptions underlying it. And then lastly, I'll share just a few reasons to like our prospects over the midterm. Okay. Let me turn to our Q2 results, which were frankly outstanding across the board. We reported revenue of $861 million, that's up 29% versus last year or $194 million increase. Of that, about $28 million was a macro benefit, about $45 million from acquisitions, and the remainder $121 million from organic growth. So that puts organic growth for the quarter, up 17%, and that's on the back of 15% growth in Q1. Revenue finished well above our expectations for the quarter, about $35 million above the top of our guidance range. Profitability, we report cash EPS of $4.17 for the quarter, that represents an all time quarterly profit record for the company. So, delighted with that. That's up 32% versus last year, and about $0.27 above the top of our Q2 guidance range. Trends in the quarter quite good. Same-store sales came in at plus 4%. We're seeing continued recovery in both our Corporate Payments and Lodging, client base, and basically flat same-store volume and our fleet client base, as they manage through these record high fuel prices. Sales, our Q2 sales excellent, up 36% for the quarter versus last year. Digital sales way, way up, and we continue to increase the number of new accounts, that join us end-to-end digitally with no human intervention. In total, globally over 50,000 new accounts on the books in Q2. And lastly, retention remained basically steady as she goes at 92%. I do want to call out just a few pretty exciting wins and renewals, since we spoke last. So, first is Delta, Delta Air Lines. They selected our new distressed passenger mobile app, and that automates passenger hotel booking, and the event of a cancel flight. So no more queuing up at the gate, or waiting to get accommodations, you get an alert and you get booked. We did win one of the largest global food chains. They did select us to manage their gift card program, so a big win there. And then BP, we're delighted that BP North America extended his relationship with us. So, we will continue to manage their commercial card program through the midterm. So, look, in conclusion for the quarter, our business fundamentals are in a really good place. We continue to satisfy and retain clients, obviously adding lots of new accounts. So you put those together and it results in faster organic growth. Okay. Let me shift gears and turn to our updated second half guidance. So, first off, we're expecting the second half revenue macro impacts to be roughly net neutral to the company versus our view 90 days ago. Fuel price, clearly, better now. We think spreads better, but FX significantly worse. So, taken together, we think it's about a push. On the below the line factors, similar view we have of a net neutral impact rest of the year. We're out looking higher interest expense, but mostly offset by a lower share account. So despite kind of these puts and takes, the second half macro is looking to be an overall wash. I do want to point out that in terms of the quarters we're expecting macro help here in Q3 and then macro hurt in Q4. So, we'll reflect that in the quarterly guidance. So, look, with these assumptions, we're revising a full year 2022 guidance up today to revenue to $3.4 billion at the midpoint, cash EPS to $15.95 at the midpoint. Our preliminary July results support this rest of year guide, and our results show no macro weakness at this time. Assumed in this revised full year 2022 guidance is a 100% flow-through of our Q2 over performance and basically a second half revenue and profit guide where we're staying put. Again, as we assume that the macro is basically a wash with last time. Assuming we achieve this new higher full year 2022 guidance that implies full year 2022 revenue growth of 20% and full year 2022 cash EPS growth of 21%.So, 20% top, 21% bottom. I do want to point out that, that this would reflect a $0.70 increase in cash EPS from our initial guide in February. Okay. So, last up today is a look forward to the company's prospects over the midterm. I do want to provide a reminder to those that might be new to the company today, that FLEETCOR's purposes is pretty straightforward, which is to help businesses, small, medium and large, whether here or around the world to spend less on their non-payroll expenses. So we do that by providing solutions, expense management payment solutions that help clients really just better control employee purchases, and also better control and schedule AP payments. You all know that global non-payroll business expenses represent a very big number, and thus a very big TAM for us to target. So let me just tick through a few reasons to maybe like our prospects over the midterm. So, first up is really recovery. So, our company has recovered quite significantly since the onset of COVID. 2022 earnings now expected to be up 44% versus 2020. And again, our client's much healthier. Two is momentum. Fundamentals, very good in the company; trends good, retention still above 90%. We're selling a lot of business. So, clearly, business growing organically. Three is the moat. We think the moats to our business are high, particularly the proprietary gas station hotel toll and virtual card networks, that we operate. We get more data and deeper discounts than our general purpose competitors. So, both big advantages. Our volumes are super significant that run through these networks. So, it makes them extremely difficult to replicate. Next up, EV. We do believe our fleet business can make the EV transition with our clients. We're really in a pretty unique spot to help them. We spent the last year or two assembling EV assets like public charge point acceptance networks, at home charging software applications, and please report that we've got about 4,000 EV clients now in Europe. We also hope to share our plans over the coming weeks for how we're going to go on EV offense. So, more to come there. Next up, Corporate Payments. Our plan is to make our Corporate Payments business a much, much bigger business in today. We will acquire more scale in our cross board of business. A reminder that we have an acquisition teed up to close here in Q4. Announcement today that we've added invoice automation capability to our Corporate Payments business with today's Accrualify acquisition, delighted with that. We've also appointed our Corporate Payments business at the SMB segment to increase the TAM, and that's in addition to our middle market core focus. Recession, our company may not be recession-proof, but we are recession-resilient. We view our products as more necessity than discretionary. Take fuel, fuel price literally almost doubled and really our same-store, fuel volumes basically pretty flat, pretty steady. So points to a pretty necessary product. And last up is acquisitions. We do expect to make acquisitions over the forecast period, and we're hopeful to have about $6 billion to $8 billion of incremental capital at our disposal at today's leverage ratio. We are good at deals. We're even better at improving acquired company performance. So, we think some upside here. So, look, taken together, we think these factors give us a good chance to sustain our growth over the midterm. So, in conclusion today, again, we reported exceptional record results in Q2. We're raising full year 2022 guidance quite significantly. And we believe we're positioned pretty well to compete and expand our business over the midterm. So, with that, let me turn the call back over to Chuck to provide some additional details on the quarter. Chuck?
Charles Freund: Thanks Ron. So, let's look at some more detail on the quarter. As Ron mentioned, we posted impressive 29% growth in revenue, including 17% organic growth, which I'll delve into in a moment. 7% or $45 million of the growth was from acquisitions made over the past year, and 4% or $28 million came from macro tailwinds. Affecting our results, fuel prices were $4.89 per gallon for the quarter, much higher than our $4.25 guidance assumption from May and contributed around $33 million of additional revenues versus prior year. We exited the quarter with fuel prices at around $5 per gallon, which we expect to moderate some over the balance of the year. Fuel spreads were also a positive by about $3 million compared to the prior year. We had an $8 million negative impact of lower foreign exchange rates as the strength of the Brazilian real was more than offset by unfavorable movements in most other global currencies. Now moving to organic growth. Corporate Payments was up 18%, led by full AP outsourcing, which was up 47% and driven by continuing strong new sales. Cross-border was up 22%, which is normalized for the AFEX acquisition. The cross-border team had a very good quarter again, as new sales remained strong and activity levels were again robust across nearly all geographies. Moving onto our expense management solutions. Fuel was up organically 7% and has largely returned to its pre-pandemic growth rate, new sales growth of 10% and flat same-store sales contributed to the performance. Overall, volumes remained stable, although we did see some slight moderation in new sales activity as application volumes were up year-over-year, but approval rates dipped a little bit. Tolls was up 19% compared with last year as the business continues to perform. New sales are solid, driven by our expanded product utility and differentiated value proposition, and we're well-positioned as we head into the seasonally strong summer travel season in the Southern Hemisphere. Lodging continued to perform exceptionally well, up 42%. Our workforce lodging business has improved with higher new sales and better volumes as our programs are viewed as more valuable as hotel costs are rising. Airlines again outperformed with organic growth of 88%. The travel recovery continues with domestic travel leading the way. International travel, which tends to garner higher revenue per transaction, still has more room to recover, particularly in Asia. Gift had an outstanding quarter, up 63% as customer card orders were pulled forward earlier in the year than normal. Retailers want to ensure they have adequate card stock in advance of the year-end holiday season and avoid any potential delays due to supply chain issues. We estimate that approximately $10 million to $12 million in second quarter revenues were brought forward from the second half, which may negatively affect organic growth in the third and fourth quarters. So, looking further down the income statement. Operating expenses of $491 million represented a 33% increase over $370 million in Q2 of the prior year, primarily due to the addition of the AFEX and ALE operations. We also had increases tied to higher volumes across our businesses, incremental bad debt, stock compensation and new sales generation activities and investments to drive future growth. Bad debt expense was $27 million or 6 basis points, which was consistent with last quarter and in line with our expectations. In the second quarter of 2021, bad debt was $6 million or 2 basis points. Bad debt levels have returned to more normal and historical levels as a result of strong sales to new customers who tend to have a higher loss rate than the back book of existing customers and from higher fuel prices, which correlate to higher write-offs. The EBITDA margin in the quarter was 52.1%, which is a 200 basis point improvement from Q1, but still down from 55% in the second quarter of 2021, largely due to higher stock compensation expense and bad debt. We still expect our full year EBITDA margin to be in line with our original expectations or 52% as margins expand in the back half of the year from revenue growth and the increased benefit of synergy realization from acquisitions. Interest expense decreased 33% year-over-year, driven by the continued effect of $1 billion of fixed rate swaps that matured in January and the benefit of higher interest income earned on customer deposits and cash balances in certain foreign jurisdictions. Our effective tax rate for the quarter was 23.7% versus 25.2% last year with the decrease driven by a $9 million discrete benefit in the quarter, partially offset by less excess tax benefit on stock option exercises and higher interest income on foreign deposits, which are taxed at a higher rate. Now turning to the balance sheet. We ended the quarter with over $1.4 billion in unrestricted cash and $1.1 billion available on our revolver. There was $5.3 billion outstanding on our credit facilities and we had $1.6 billion borrowed in our securitization facility. As of June 30, our leverage ratio was 2.76 times trailing 12-month adjusted EBITDA as calculated in accordance with our credit agreement. In the quarter, we upsized and extended our credit facilities by $488 million to $4.5 billion and extended the maturity to a new five-year term of June 2027. The term loan A was increased from $2.73 billion to $3 billion and the revolving credit facility was increased from $1.285 billion to $1.5 billion. The pro rata credit facility was converted from a LIBOR to SOFR base rate with margins on borrowings approximately 12.5 basis points lower than the pro rata facility pre-amendment. The improved terms reflect the consistency, earnings power and strong cash flow generation of our business. We repurchased roughly 1.6 million shares at an average price of $230 during the second quarter. We also had a 10b5 plan in place in July, under which we repurchased another 900,000 shares at a $215 average price. In total this year, we've repurchased 4.3 million shares for $995 million. $656 million remains authorized by our Board for further repurchases. Buying back shares at these levels is a no-brainer, along with the small deals we've recently announced. We always have been and continue to be very efficient capital allocators. And our profits and cash flow put us in a position to take advantage of this unique opportunity to buy back a lot of shares at very low valuations. Finally, in order to align with recent changes in the organizational structure and management reporting, the company has recast its segments from a geographic split to more of a product level split, as seen in Exhibit 4 of our earnings press release. Further details will be provided in the upcoming 10-Q filing. As Ron has covered our full year guidance updates, let me now share some thoughts on our Q3 outlook and our assumptions. For Q3, we're expecting revenue to be between $870 million and $890 million, and adjusted net income per share to be between $4.15 and $4.25. On our guidance assumptions, we are assuming fuel prices of $4.64 in Q3 and $4.29 in Q4, again based off the forward curve for our forecast period. Given an anticipated decline in fuel prices, we are assuming higher fuel spreads, particularly in Q3, having already experienced spread expansion during July. Our interest expense guidance of $145 million to $155 million assumes average LIBOR rates of 2.2% and 3.2% in Q3 and Q4, respectively. The rest of our assumptions can be found in our press release and supplement. And moving away from the results and the outlook, I would like to thank all of our employees around the world who helped us receive two distinctions recently. First, FLEETCOR has become certified as a Most Loved Workplace, which honors the company's dedication to creating a culture in which employees are valued and given resources and opportunities to succeed. And secondly, our U.K. team has also earned recognition for its employee mental health support, winning a gold award in the Workplace Wellbeing Index by mental health charity, Mind. We are incredibly proud of these recognitions as we believe they reflect our company's commitment to our core values and the culture we work so hard to create and maintain. Thank you for your interest. And now operator, we'd like to open the line for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Pete Christian with Citi. Please go ahead.
Peter Christiansen: Hi, everyone. Thanks for the question. Ron, I was just wondering if you can update us on the cross-sell initiative with the Corpay One solution, B2B and [technical difficulty].
Ron Clarke: Yeah. Hey, Pete, I'd say it's still pretty early days. I think I said last time that we're trying to make sure we got people on this new payment platform first before we try to cross-sell them. So we're signing up accounts and moving some spend over, but I'd say it's still pretty early. I'd say we had a little bit of an aha moment in a review in which we determined that about 5,000 of our, call it, 100,000 or 150,000 U.S. fleet card clients have half the spend, half the payable spend. So that was one of those times where I'm like, okay, we can spend a lot of energy targeting 100,000, 150,000 companies that have a certain amount of spend that we will earn revenue on or we can refocus on the 5,000 that are half of all the spend. So that aha moment has us a bit redirected. So, I'd say some progress, but always kind of the new things we're still learning.
Peter Christiansen: Thanks. And last one for me. Just wondering if you had an update on tag fueling in Brazil. I know you've deployed some capital there to get those systems in place. Just wondering if you had an update on the efforts there to get more tag fueling.
Ron Clarke: Yeah. Good question. That thing is going super good. It's way up. I think it's 50% up versus the prior period. I think we're on plan that we're going to add 1,000 or 1,200 new locations this calendar year. So, we're on track for that. But most importantly to me, Pete, is the thesis of, hey, if we have more locations, will we get more transactions? Because right, we've got the 5 million or 6 million active people that have a tag and so, if you stick them in front of locations that can accept the tag, will trans grow? And so, the good news is they do. So, when we stick new accepting locations in geographies where we didn't have acceptance, we see transactions appear. So, we're going to keep pushing the thing. Obviously, we're going to add another few thousand locations. And I think I said at the beginning, our hope is to have 10 million transactions here in 2022. So, I'd say it's still kind of all green.
Peter Christiansen: Great. Thanks so much, Ron. Nice results.
Ron Clarke: Thanks Pete.
Operator: Thank you. Your next question comes from Darrin Peller with Wolfe Research. Please go ahead.
Darrin Peller: Hey, guys. When we look at the trend line, even a two-year stack basis on the fuel, the organic growth rates, I mean, they're sounding like they're in the low-teens for fuel, for example, when we look on -- again, just looking at two-year stacked. And similar for Corporate Payments in terms of two-year stack acceleration. So, the trends are good organically. And I'm curious, we look at the outlook, first of all, is that something you see as a normalized growth for fuel? I mean, like a 10%, 2% plus type growth rate medium term organically and is cross-selling helping that or will it? Secondly is just when we look at the outlook for the rest of the year, obviously, the gas price assumptions you're assuming are lower, which I assume is impacting guidance. But what's the organic growth of the fuel business embedded in that?
Ron Clarke: Hey, Darrin, it's Ron. Why don't I take the first part and then give it over to Chuck? So, in terms of the Fleet business and the Corporate Payments business, I'd say, we're in the same place. We're planning. We model to be high single digits in fuel and, obviously, high-teens in Corporate Payments. I know it sounds like a broken record, but we actually deploy marketing and sales investment to hit those targets because, again, we have all the stats right on loss rates and same-store, so we basically -- if we hit the sales production targets, it basically comes out of the model, right? We're going to sell X, lose Y. So, we're going to grow 9%. So, yeah, we've had some COVID recovery that maybe has boosted those numbers a bit. And I think I mentioned the higher fuel prices, I do think, help, right? Sales are way up in that business. Digital demand is way up in the business, because the need to control is higher. So, I'd say nothing fundamentally different in those two business lines in terms of the revenue targets other than we're on them. We said that, and that's kind of where we're coming out. Do you want to pick up, Chuck, the rest of the year question?
Charles Freund: Yeah. I'd say that, as Ron said, the business is kind of a high single digit. You can see our organic growth for this quarter around 7%. I would say that, that's probably going to be consistent for the rest of the year. We do have macro coming down over the periods, but on an organic basis. Again, selling more than we lose, which is good news, but we expect that organic growth to be kind of mid to high single digits.
Ron Clarke: Hey, Darrin. It's Ron. Just -- you said something interesting, I want to just tell the group is we haven't really landed where to stick the incremental product revenue, to your point. So, let's say we sold back some Corporate Payments, let's just say, virtual card or bill pay services to the fuel card client. When it's been small, I think we've mostly put it in the fuel card, but to the extent that, that thing gets to be a larger number, that is the question. Whether we kind of categorize it by the client that's using it or by what the product is.
Darrin Peller: Okay. Thanks. Ron, just a quick follow-ups on the Corporate Payments side. In terms of the strategy now, I mean, you're doing more tuck-ins on accounts payable, obviously, in Nvoicepay. It seems like a set of assets that are differentiated. Where are you on the buildout of where you want it to be in terms of really good integrated solutions that is one good salesforce that can sell the AP side rather than what used to be really selling the virtual card specifically?
Ron Clarke: That's a super duper good question, Darrin. I'd say we're virtually complete, like we're super happy. Let me try this on you. So, historically, in this thing that we term Corporate Payments, I think there's been three kind of buckets of providers. So kind of in the SaaS software front process or workflow companies that help basically reinvent kind of AP process approval, scheduling, that kind of stuff. Then B, really co-payment or bill pay execution, paying the 100 invoices for the company, whether it's paper or card or ACH. And then third is really card, whether it's a business card or a TD card or really P card. If you think about it, the suppliers generally are different in those three buckets. If I said you name the top few people have workflow software versus payment execution versus card, so we've got all three, right? So, we've got a position, obviously, now in the software front with -- I think we're -- not the largest non-bank certainly close to in terms of bill pay spend volume. And then we've obviously got a pretty big card business and relationship with MasterCard. And so, we love the fact that as a single provider, we have capabilities like a process to make software, the credit provision, to pay no matter how it's paid, have a big virtual card network. So, we like that package as we go to the market, right? The thought is we may attract people that are looking for more than one thing at a time back to kind of the platform idea. So, we're pretty happy with it.
Darrin Peller: Great. All right. Thanks guys.
Operator: Thank you. Your next question comes from Sanjay Sakhrani with KBW. Please go ahead.
Sanjay Sakhrani: Thanks. Maybe just to follow-up on that last question, Ron. So, when we think about the revenue distribution of Corporate Payments, how much of it comes from those three different buckets? And then, as we look ahead, are there other pieces you want to add to that business? Or do you feel like with all the acquisitions that you've made, you have everything you need to now sort of focus on that strategy that you mentioned?
Ron Clarke: Yeah. Again, Sanjay, I'd say that I think we mostly have what we need. I'd say it's ballpark about if you take the channel business or the partner business out, right, where we help other FinTechs or something with virtual card processing, which we do. So, if you kick that out and just go to what we call the direct business, where we go to an end business ourselves, it's about a third, a third, a third sitting there between traditional cards, what we call virtual cards or full AP. And then this fourth bucket of what we would call SaaS software or workflow is basically close to zero, right? We're just starting. We spent the last year turning through whether we want to do a bigger deal there or capabilities deal there and ended up on B. So that's kind of the rundown. The partner business is kind of similar in size, call it, a quarter, a quarter, a quarter, a quarter, a quarter, not to hurt your head on that piece. And the direct business, as I mentioned in the last call, is growing dramatically faster, right? I think year-to-date, the first half, it's in the high 20s, the direct business. And I think if we reported for the quarter, I think the full AP is approaching 50% growth. So, we've got super good growth in what we call the core Corporate Payments set. And as Darrin said, we're super focused now really on the marketing and sales execution of it. And like this new product, which you didn't ask about, but let me just add. First of all, there seems to be, when we analyze the Google search, there's demand for this SaaS software stuff that's incremental to what we'll call invoice payment. So, we think we may generate some incremental leads by having a straight software product. And then, hopefully, we'll get some sales productivity because the sales and then the same salesman could sell both that and the payment execution, so we could get more revenue dollars out of the sales. So, the hope is that the production basically per quoting area will go up as we bring this thing into the fold.
Sanjay Sakhrani: Okay. Great. And then, just a follow-up question for Charles. Could you just talk about like higher interest rates, and how that sort of flows through the model? I assume you've factored most everything in, but maybe you can just speak to that. And then just two-part question. Second part is, one of your competitors saw higher instances of fraud. I mean, I assume that's something you're monitoring, but is there anything to call out there? Thanks.
Charles Freund: Sure. So, yes, we have factored in escalating interest rates. Our assumption for Q3 is 2.2% for LIBOR going up to 3.2% in Q4, basically following that curve. We have factored that through all of our variable debt. We do still have about $1 billion hedged, half of which comes off in January next year, the other half in December of next year. So, all that has been contemplated. I would say on the fraud side, we have seen an uptick in attempts. It's something that's kind of always been a factor, attempted fraud, whether it be application fraud or people coming in and not who they say they are or transaction fraud, skimming and things, that's always in our credit loss numbers. But when fuel prices get as high as they have been, that activity does ramp up. So, we have tools in place to monitor it and such. We have been watching it very, very closely. And I'd say we probably, in this last quarter, maybe over rotated a little bit to protect ourselves as we saw an uptick in duplicate transactions or applications, I should say. Some of those people who get applications, though, are people coming through multiple channels, right? Because we have Google sites, our own, our partner sites, portal sites, whatever it may be. And so, we probably dialed that up a little bit too harshly and we're revisiting that. But nonetheless, we're monitoring it closely. And while it's always in our numbers, we haven't seen a dramatic uptick in terms of the effect it's had on our [indiscernible].
Sanjay Sakhrani: Great. Thank you.
Operator: Thank you. Your next question comes from Andrew Jeffrey with Trust Securities. Please go ahead.
Andrew Jeffrey: Hi. Good afternoon. Appreciate you taking the question. Ron, I guess, start with kind of a big picture question. Lots of businesses here that are sort of at different points in the cycle, all doing well. Is there a point at which it makes sense to take advantage of the strength in whether it's lodging or I know gift has been a long conversation? To kind of streamline the business, it would seem like this would be kind of an optimum moment to perhaps consider that.
Ron Clarke: What do you mean, Andrew, just in terms of when you use the word streamline?
Andrew Jeffrey: I mean, potentially selling or divesting businesses that maybe are a little bit ancillary to the overall offering. I think about fuel and Corpay and Brazil as being kind of the core businesses for the company. And as I said, gift has been a conversation over the years. I just wonder if there's any update sort of on the business model from that standpoint.
Ron Clarke: Yeah. I'd say that I'd start where you started, which is, we like businesses that perform. So when we're in a business where we have performance, where there's market, there's demand and we compete well and we perform and we grow, we tend to like that. I don't have it in front of me, but I think the non-essential lodging business you call out grew, I think, 40% organically and 80% print. So that would be the first thing. The second thing, I say it all the time, you guys, I guess this would be like MasterCard or Visa saying about their business and running through the categories that were spent, hey, this was we spent on fuel and hotels and whatever. That's how we think about it. These are just different kinds of spend categories that sit at the company that employees spend. And so, to us, the model, again, is just identical. We go to the business, the same business, and we give them a product to control one kind of spend and then another kind. And the last one, people listening, is we're trying to head through is what we call this platform where we could get a single client to use multiple, right, of these solutions. So, you're some kind of midsized company that has walk around people. So, we give you a fleet card. With some of the people of sales have been travel, we give you OTA travel product. And then, hey, you're big enough that you pay a fair number of vendors, we give you a bill pay thing. And so, the hope is that it will start to bring actually more of these things together over time, where people will stop asking me, oh, hey, are they unrelated? Let me start -- just go back to the first point. We like businesses that perform. [Indiscernible] where we are.
Andrew Jeffrey: Got it. Okay. I appreciate that. Thought I'd check in. And then, just from -- I guess, another kind of high level question. It sounds like you could be setting up investment cycle around cross-selling as you get more focused and understand sort of the composition of your customers and so forth. Any areas -- maybe this is more a question for Charles, any areas where you could ramp spend to accelerate revenue growth in a meaningful way that we should be thinking about, especially as we look out to '23?
Ron Clarke: Yeah. I think we say this repeatedly that the fastest and most logical way for us to boost revenue is advertising, mostly digital advertising spend. And the reason is, one, that that channel, both advertisers and sales, and I think I mentioned half the sales literally complete without any people. So, it's not only an advertising and marketing channel, it's the sales closing channel. And then second, we have an enormous amount of field talent resource out there. So, giving them more qualified leads, pointing them more crystally to the right targets that may be interested in our solutions is another way to drive sales and revenue. So that's the one, if you said, hey, I'm going to soften a profit target in hopes of ramping up revenue. That's the first place we would go. We could go in a big way. We could go relatively quickly. And we know a fair amount about what kind of returns we get from it.
Andrew Jeffrey: Okay. I appreciate all. Thank you.
Operator: Thank you. Your next question comes from Sheriq Sumar with Evercore. Please go ahead.
Sheriq Sumar: Hey. Hi. This is Sheriq from Evercore. A quick question on the pricing front. Like the pricing for the lodging business moved up pretty significantly and even for the tolls as well. Were there any specific items in this quarter that kind of drove it? And how should we think about for the second half of the year?
Charles Freund: Yeah. So, this is Charles. In the lodging business, we have seen a pretty sizable recovery in terms of volume. We saw some better, obviously, expansion in pricing, just hotel rates, right? Hotel rates are higher. It has created some additional margin in that business, which is helpful, and we are capturing more of that. Also, as international air starts to recover, that does have higher take rates than our domestic air. And so, we'll be able to ride some of that as well in the lodging business. On the toll side, I'd say that we've done a good job differentiating our product vis-a-vis the rest of markets and are able to withhold good pricing, flat pricing in terms of our subscription. We're also, as Ron mentioned earlier, seeing success in terms of fuel, parking and even our fast food business. And as that brings more merchant discount revenue per tag, that should also help that revenue per tag metric continue to improve.
Sheriq Sumar: Got it. Understood. And one quick follow-up. On the share count for the full year, are there any buybacks baked in for the second half? Or is it just assuming the buyback that you have done in July?
Charles Freund: Our go-forward guidance only assumes what we completed under the 10b5 in July. Everything else then is assumed that we would use to paydown debt, which is really our least favorite choice.
Sheriq Sumar: Got it. Thank you so much.
Operator: Thank you. Your next question comes from Ken Suchoski with Automotive Research. Please go ahead.
Ken Suchoski: Hi. Good evening, everyone. Thanks for taking the question. I just wanted to ask about the Accrualify acquisition just since I'm not familiar with the asset. Does that get you more into the procurement side of things? And I guess, if not, I mean, how much appetite is there to move up the transaction life cycle there? And then, anything you can comment on in regards to the size of the deal, revenue growth for the business, that would be really helpful. Thank you.
Ron Clarke: Yeah. Hey, Ken. It's Ron. So, yeah. We -- the size is small. It's basically a capability asset. So, we bought a cloud-based software package and a group of people that have built it. I think ballpark they have kind of 100-ish middle market clients at single digit millions of revenue. On the procurement, I'd say not super interested. The platform is a little wider, right, to your point, in terms of procurement help. Our focus is really in the invoice automation space, again, of helping the AP departments that buy our payables products get process help and stuff. And so, that that's the area that we'll build out. And as you can imagine, we did all kinds of studying with internal and external people and how this package competes and compares against other people to do the SaaS software, which convinced us really to pull the trigger on it. So, its capability, we'll connect it to our payment execution engine, give it to our salesforce, and hopefully, they'll get more business and more rate, right, as a result of the incremental value. So, we're pretty excited about it. I mean, it's little, but it's one of those -- I preview probably for a year now. Hey, we're going to do this. We need to do this. We will do this. And it was really just with what, and we really like the guys, the team basically that we pull the trigger on.
Ken Suchoski: Okay. Great. And then, just for my follow-up, I want to ask about the guidance just because we're getting a few questions on it. It looks like 3Q guidance coming in strong versus some of the expectations that are out there, but the 4Q guide maybe a little bit lighter than what some expected. Is there anything in particular that's causing that or anything that's leading to maybe some weaker exit rates as you can exit the year and move into 2023?
Ron Clarke: Hey, that's a super good question. So, the short, short answer to it is really the trend of macro. I can't remember. I think I said this in my opening remarks, that the macro things, fuel price spreads, FX, et cetera, and then the below the line things, interest expense, shares and stuff, kind of when you put it all together, it's kind of a wash of what we thought from 90 days ago. Well, it's a little bit of a stair step. So, we got the best macro kind of here in Q2, right? High fuel prices, interest rates are still not high. As you run to Q3 and then to Q4, those things keep kind of rolling down the hill. So, fuel price, again, we forecasted to be going down each quarter. Interest expense, we forecasted to be going up each quarter. And so, it's mostly the macro overlay on our core business. So, we run our business kind of what we call macro neutral inorganically, so we can make sure we're running the business right and then we drop macro help or hurt on the print, which you guys like to see. So that's the short answer. That cooked into our assumptions is a declining macro overlay Q2, Q3, Q4. But even with that, if you look -- you do the math, even at the print level, it's sequentially up, right? The revenues still will grow sequentially in Q3 and in Q4 versus what we just produced.
Charles Freund: I'd also add, Ken, that just to reiterate, we did see a bring forward of revenue in the gift card business of circa $10 million to $12 million that would come out of the second half. And so that calendarization is also having an impact.
Ken Suchoski: All right. Thank you very much. Appreciate it.
Ron Clarke: You got it.
Operator: Thank you. Your next question comes from Mihir Bhatia with Bank of America. Please go ahead.
Mihir Bhatia: Good afternoon. Thank you for taking my question. I wanted to maybe just start with the Delta lodging win. Can you just help us understand maybe just the size of it, the impact of it to your lodging business? Any historical detail you can share in terms of room nights or rev per room? Just any additional detail there. And when does it go live?
Ron Clarke: I'm not sure I picked that up. Did you get that question?
Charles Freund: I think the he means the Delta.
Mihir Bhatia: Yeah. Sorry, the Delta lodging business. Just trying to understand the impact of?
Ron Clarke: Yeah. Yeah. Yeah. So, I'm sorry, I missed the first part of it. So, again, the lodging business in its entirety is 400-something-million, $400 million, $450 million annualized revenue business. And call it, the airline segment versus the workforce and insurance segments, call it, 100 not to hurt your head rough number. So, I would say that we would expect this one idea to probably grow that business 10%, depending on the breadth and the pace of the rollout that they do. But most, I want to call it out to just show that we actually have some interesting tech here in the company and our people build stuff that clients and obviously, their clients. Like, I'm sure everyone on this phone has been in the -- or either been or seen the queue up line when they scrub a flight on you. So, the idea of being connected into their passenger manifest system and being able to provision the service kind of instamatically is just such a massive leap forward. So, I think the prospects for this thing certainly go well beyond Delta. We've got, I don't know, 40 or 50 global airline clients and a handful, I don't know, four or five that are using this new product. And so, the hope is that it goes wider with the clients we have and that a bunch more of them pick the thing up that, and it kind of becomes the way distressed passengers are handled versus the old fashioned way.
Mihir Bhatia: Right. No, that makes sense. Thank you. If I could just ask -- the other question I just wanted to ask is about sales momentum. You've obviously seen some really good momentum now for quite a few quarters. And you mentioned digital sales were way, way up. So, I did want to dig in a little bit on the drivers there. I think last quarter you had talked about inbound searches being high. So, is there something about the process or like productivity improvements that you've done that's driving the sales momentum? Just trying to understand where this normalizes back. As gas prices come back down, where does the sales productivity normalize back down to?
Ron Clarke: That's actually a super good question. So, yes, the sales are compounding quite well, which we're obviously delighted and the digital compounding is even faster. And so, the two basic reasons for that are, one, spend. So, we're obviously spending more, right? We're trying to reach more people, et cetera. So, you spend more, you produce more. And then second, I think the digital team has done a great job with process improvements. So, for example, spending money, the target's better, the right prospects instead of the wrong prospects, redesigning websites so less people drop off that visit the website to begin with, handoffs at the end. So, the 50% of the people that don't sign up all digitally, but want to talk to somebody, how we get them over and how fast. So, there's been a whole bunch of kind of workflow improvements that we've made dialing the thing in to basically get more out of each dollar that we spend. And so, we've got a whole bunch of new ideas. We've got geography tests running. We've got new websites launching. So, the team is just -- I don't know if any are listening, but it's an all world group of people that have plans to keep taking the thing forward. So, we don't see it resetting back when fuel prices moderate. I think some of the free searches that jump in the boat will probably moderate some. But my guess is we'll continue to invest more and produce more in that channel.
Mihir Bhatia: Great. Thank you.
Ron Clarke: You are welcome.
Operator: Thank you. Your next question comes from Bob Napoli with William Blair. Please go ahead.
Robert Napoli: Thank you. Good afternoon. Solid results. A question just on the M&A, Ron, you guys have consistently been active ever since I've known you. Valuations have come down quite a bit. What are you most interested in? Obviously, I'm sure you have -- and how active is your pipeline? Just any thoughts on where you're most interested in adding. You've been adding a lot of Corporate Payments. Is that where we would expect to see additional M&A? Or is there a broader view there?
Ron Clarke: That's a good question. First, Bob, glad you're doing well, just [indiscernible].
Robert Napoli: Thank you.
Ron Clarke: So, the short answer on M&A is because of the run-up and capital was cheap, you basically saw from us what we call internally a lot of capability acquisitions. Probably in the last a year, 1.5 year, we've done five or six, we would consider, little deals, right, in terms of the purchase price, albeit maybe more important in terms of the capabilities that we got. So, I think what you'll see is we have a few more of those. In fact, I teased a bit in my opening about EV, where the one yard line on a pretty important EV transaction, which we think is a super capability thing that we hope to announce here in the coming weeks. So, you'll see a few more of those. We've got one where we're getting a business international that's not international. So, call it, two or three more. But now we've got in our gun sight the old fashioned FLEETCOR accretive deals that are larger, a couple of bigger client base, bigger revenue and obviously, bigger profit synergies. So, as the valuations have normalized. We've reengaged in some of those conversations. So, my guess is the next 30, 60 days, you'll see us announce a few more capability type deals. And then, as the year rolls on, you should be surprised to see us back doing some larger, more accretive kinds of deals.
Robert Napoli: Great. Thank you.
Ron Clarke: [Technical Difficulty]
Robert Napoli: Right. Just a quick follow-up on Brazil and the toll business. And just your thoughts, like long-term, on that business and the kind of the ability to grow that business, and what would you look to add on to that business or in that market.
Ron Clarke: That's another really good question. I mean, the thing every time when we do reviews and we're there and we talk about the business, it's just the enormity of the scale. It is just such a gigantic thing. You drive around that country, and it's -- the brand name is literally -- because it's got a retail feel to it, it's just everywhere. It's got millions, right, of active users. So, the path or the size of the franchise over whatever it is, a 20-plus year old company, is crazy. And so, what I'd say -- and B the people, the guy that runs the thing and the team there, I say repeatedly to our Board, I think it's one of the best. So, we have a great group of folks there. But what I'd say is I see it, Bob, in two parts. One is, monetizing this thing we told you guys about, we're going to take all these clients we have and we're going to add on fuel to toll. And why are we doing that? Because per user, it has 10 times the spend. So, a user spends X per year in toll and 10X in fuel. So, every one of those people that we can move over to fuel is helpful, plus we get MDR, 2% or 3% on the fuel. So, I think you'll see us bring that to a realization where it contributes in a big way. But the new idea, which I think is also a big one, is add-ons. The team is testing now two or three add-ons basically to do the proposition, for example. Vehicle insurance as an example. Going back to the 6 million drivers on the 1 million B2B drivers and basically offering up insurance for those vehicles because, obviously, they know a fair amount about them. So, I think it's the core business. We've got -- we're going to name another big win there. So, we've got banks that are just getting launched to sell our products. Our sales guy there is all world. Phase 2 is the fuel thing, getting that to monetize. And then Phase 3 is really this add-on idea of kind of new things that net close to the business. So, I don't know if you can hear it, but we're super bullish still about the prospects there.
Robert Napoli: Great. Thank you. Appreciate it.
Operator: Thank you. Your next question comes from Trevor Williams with Jefferies. Please go ahead.
Trevor Williams: Great. Thanks. Good afternoon. I wanted to ask on credit because your provision, you've been running, call it, plus or minus $25 million or so per quarter in Q1 and Q2. First, just any help on what you're building in for the second half of the year bad debt. And then, just how should we think of that number and the sensitivity it has in a recession, both with how high losses can go? I know you guys tend to cite as percentage of billed business, but whether on that metric or in dollars. And then, kind of counterbalancing that, how quickly you can shut off the credit spigot, if and when things start to turn.
Charles Freund: Yeah. Trevor, it's Charles. So, bad debt, looking forward, we do expect to kind of maintain current levels towards the end -- until through the end of the year. So, as fuel prices have remained pretty high, it takes a while for that to flow through the receivables. So that's going to take a quarter or two to kind of flush out and then normalize hopefully as we go into next year. We have -- as we said, we've seen more tax and we're being prudent in that regard. But we would expect as we exit the year with a lower fuel price that hopefully it sets up better for next year. That said, on the recession side, we've been through downturns before. COVID was a bit unique. We've seen a similar kind of recession, call it, in the global financial crisis. I was around at that time here. And I'd say that, yes, while we could see things go up, our payment cycles are a little different than what you see in a standard bank, right? We don't offer revolving. And we generally -- we have some clients that are on monthly net, call it 15. But a lot of our clients are on more frequent cycles, weekly cycles or biweekly type cycles. And so, our exposure -- if someone doesn't pay us, we can shut it down pretty quickly. And they don't have a big revolving loan that's sitting out there. So, yes, while basis points could go up, it wouldn't tend to spike like you might see in other credit card type portfolios. In the event that we do, and we haven't yet, we haven't seen any sign of any kind of recession. But if we do, just like we did in COVID, we will certainly go back and relook through the portfolio and see where we can pull back excess lines and such. We did open up some lines as fuel prices went higher. So, we -- of course, if we smell something, we'll go back and pull them down as fuel prices drop.
Ron Clarke: Yeah. Trevor, it's Ron. We've had a lot of practice. We ran a fire drill just two years ago on this game. So, I think we could dust off that playbook. And if you go look at our credit losses, which I'm sure we published, we did a pretty good job. It does dial the business back some. But we know what to do, particularly to Chuck's point, on the new business where probably half of our losses come from. That's the place that you can instamatically, to your point, get the thing fixed. So, we get the drill. We monitor it carefully, look at low rates and everything. And I'm knocking on wood here. We're pretty confident we know how to manage it.
Trevor Williams: Okay. No, fair enough. And then, just as my follow-up. On interest expense, any help with how we should be flowing that out to 2023? I think with the updated guide, we're backing into something like $60 million for Q4, taking that with the hedges that roll off next year. So, is there just any initial framework you can give us for kind of quarterly baseline for 2023 interest expense? Thanks.
Charles Freund: Yeah. Trevor, I think your step off is probably in and around the ballpark. It all depends on the forward curve. So, what I've seen is that a lot of people are anticipating an actual reduction in LIBOR, SOFR through next year. And so, it just depends on what you believe there. So, we're not ready to give kind of that forward guidance, but I'd say that your step-off sounds about right. And we will have $500 million that rolls off. It's currently hedged at around 2.4. That will roll off in January.
Trevor Williams: Got it. Okay. Perfect. Thank you.
Operator: Thank you. Your next question comes from Ramsey El-Assal with Barclays. Please go ahead.
Ramsey El-Assal: Hi, gentlemen. Thanks for taking my question this evening. I had a follow-up question, probably for Charles, on how to think about interest expense as well. Are there -- can you talk about some of the offsets in the model that you have? I'm thinking about like high cash balances, like cash balances in the high rate jurisdictions and you'd mentioned float income. I'm just trying to think of what other tools you might have at your disposal to offset some of those higher interest expenses that flows through from higher rate hikes. And I know you can soak up some of the bottom line impact with buybacks, as you mentioned. But I'm just curious what else -- what other machinery do you have to kind of help there.
Charles Freund: Yeah. So, if interest rates in some of those foreign jurisdictions do continue to tick higher, we do get interest income benefit. I would note that passive income under Subpart F is double taxed. We pick tax locally there and we pay tax here on that same income, which is why our tax rate is a bit higher this year. So, I would call that out. All of that is factored in. So, any forward rates that we see in Brazil, see with others, we have factored it into our forward view. Fuel prices coming down, will help. So our securitization, we've kind of maxed out at $1.6 billion. And so, as fuel prices drop, that will come down a little bit. So that will be helpful. But yes, there are offsets if things continue to go up in foreign jurisdictions, for sure.
Ramsey El-Assal: Got it. Okay. And then lastly, and forgive me if you already commented on this, I missed it, a little bit of the prepared remarks. It was just an update on the Russia business. And I guess the question here is, are you sort of planning on staying there unless the sanctions regime sort of forces you out? Or are you kind of looking for the right structure to potentially exit the business? Is it just a question of time? Or is it just more that you might hang on to it indefinitely depending on how things break from a regulatory perspective?
Ron Clarke: Yeah. Hey, Ramsey. It's Ron. I'd say it's less about the regulatory. We've got good people, and we have an idea there. I think we said it repeatedly it's a function of how the conflict plays out and what our options are. So, we've got people helping us explore, exiting that thing fully. So, probably like lots of people were kind of day-to-day looking at our options and looking at how the thing's going and look at what's going on with the conflict. So, it doesn't seem to make sense for us to pull the plug on it today, but we're going to keep looking at it.
Ramsey El-Assal: All right. Super helpful. Thanks so much.
Operator: Thank you. We've reached the end of our allocated time for our question-and-answer session. So, that does conclude our conference for today. Thank you for attending. You may now disconnect.